Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the Emerson's Fourth Quarter Fiscal 2010 Results Conference Call. [Operator Instructions] Emerson's commentary and responses to your questions may contain forward-looking statements, including the company's outlook for the remainder of the year. Information on factors that could cause actual results to vary materially from those discussed today is available at Emerson's most recent annual report on Form 10-K, as filed with the SEC. I would now turn to your host, Lynne Maxeiner Director of investor relations. Please go ahead.
Lynne Maxeiner: Thank you. I am joined today by David Farr, Chairman and Chief Executive Officer of Emerson; and Frank Dellaquila, Senior Vice President and Chief Financial Officer. Today's call, we'll summarize Emerson's fourth quarter 2010 results. A conference call slide presentation will accompany my comments, and is available in the Investor Relations section of Emerson's corporate website at emerson.com. A replay of this conference call and slide presentation will be available on the website after the call for the next three months. I will start with the highlights of the quarter as shown on Page 2 of the conference call slide presentation. Fourth quarter sales were up 14% to $5.8 billion with increases in all five segments. Underlying sales growth of 12% in the quarter with all geographic regions resuming growth. Gross profit margin of 39.9%, which was up 100 basis points from the prior year quarter. Strong operating profit margin of 17.4%. Earnings per share of $0.98, up 46% compared to $0.67 in the prior year quarter. This includes the positive impact of $0.23 from divested businesses. Operating cash flow was $1.27 billion and free cash flow was $1.046 billion. Our balance sheet remains strong and operational efficiency initiatives continue. Our trade working capital as a percent of sales improved to 15.5% from 16.6% in the prior year quarter. Actions taken over the past two years are paying off and we are well-positioned for accelerated growth globally. Slide 3 of the P&L. Again, sales up 14% to $5.841 billion. Underlying sales were up 12%, acquisition's added three points and currency subtracted a point. Operating profit of $1.019 billion, up 14%. The increase driven by cost reduction benefits and volume leverage. Earnings from continuing operations up 14% to $572 million. Diluted average shares of $757.4 million with 0.6 million shares repurchased for $28 million in the quarter, which leaves you with an EPS from continuing ops of $0.75, up 12%. This includes a $0.04 negative impact from the Chloride acquisition and $0.02 negative impact from motors being reclassified to discontinued operations. $0.23 from the impact from Motors and LANDesk gives you the EPS of $0.98. Slide 4, this is a summary table we had in our press release today that provides additional detail of the impacts from the Chloride acquisition and Motors and LANDesk divestitures. The next slide, Slide 5, underlying sales by geography. In the fourth quarter, the U.S. was up 9%, total international was up 13%, with Europe up 15%, Asia up 14%, Latin America up 11%, Canada up 21%, and Middle East/Africa up 2%. Again, total underlying sales up 12%, currency subtracting one point and acquisitions adding three points, bringing you to the consolidated sales of 14%. For fiscal 2010, the U.S. was up 1% and Europe declined 7%. Asia was up 7%; Latin America down 2%; Canada, down 9%; Middle East, Africa, down 10%. Total international declined 2% for the year. Total underlying sales were down 1% for the year, currency added two points and acquisitions added four points, giving you to consolidated sales of 5% for the year. Emerging markets now represents 34% of total sales in 2010. Slide 6, some income statement detail. Gross profit dollars of $2.331 billion or 39.9% of sales, up 100 basis points from the prior year quarter. The improvement coming from aggressive cost reduction programs, volume leverage, restructuring benefits and acquisitions. SG&A of 22.5% of sales gets you to operating profit of $1.019 billion or 17.4% of sales. Other deductions net of $116 million, which includes lower restructuring of $78 million and higher amortization of $22 million and deal costs of $14 million, gets you to a pretax line of $838 million or 14.3% of sales. Taxes in the fourth quarter of $254 million for a tax rate of 30.2%. Next slide, the cash flow and balance sheet. Operating cash flow of $1.27 billion, down 6% versus the strong Q4 in 2009. Our working capital is still positive cash. Capital expenditures of $224 million gets you to a free cash flow of $1.046 billion. Free cash flow conversion in Q4 was 140%. Trade working capital balances at the bottom of the slide showed a solid improvement in trade working capital to sales ratio, improving to 15.5% of sales from the quarter. Slide 8, the Business segment P&L. Business segment EBIT of $1.056 billion or 17.6% of sales, up 31% or 230 basis points, with benefits from volume leverage, cost containment programs and lower restructuring costs. Difference in accounting methods of $53 million, corporate and other, up $91 million. We had a negative impact from the increase in stock price and overlap for retention purposes of two stock compensation programs of $50 million and Chloride one-time costs of about $30 million. We expect Chloride one-time charges to be at a similar level, $30 million, in the first quarter of fiscal 2011. Earnings from continuing ops before interest and taxes of $903 million. Interest expense of $65 million gets you to a pretax earnings of $838 million. Next, we'll review individual business segments, starting with Process Management. Sales in the quarter up 5% to $1.701 billion. Underlying sales were up 5%, acquisitions added a point and currency subtracted a point. By region, U.S. was up 8%; Asia, down 3%; Europe was up 4%; and Middle East/Africa down 4%. Order rates are strong globally, up over 20% in the trailing three-month average. EBIT dollars of $325 million or 19.1% of sales, up 14%, driven by a significant cost containment actions and restructuring benefits, which were partially offset by wage inflation and lower restructuring expense. Backlog at the end of September 2010 was $2.9 billion, an increase of 10% from the prior year. Also, Emerson Process Management wireless solutions are successfully operating in more than 1,400 sites globally. We had 76 million in orders booked in fiscal 2010. Slide 10, Industrial Automation, sales in the quarter of $1.169 billion, up 23%. Underlying sales were up 26%, currencies subtracted four points and acquisitions added a point. By region, the U.S. was up 24%; Europe was up 30%; and Asia was up 25%. We've seen broad-based growth across businesses and geographies. Capital end markets are recovering and businesses are beginning to spend again. Results for 2009 and 2010 include the Hermetic Motor business. EBIT dollars of $196 million or 16.3% of sales up 96%, driven by volume leverage, cost reduction benefits from lower restructuring. The September 30, 2010 backlog of $691 million increased 80% from the prior year and order trends in the quarter continued to be strong, up more than 20%. Next slide, Network Power. Sales in the quarter of $1.678 billion, up 23%, underlying sales were up 12%, and acquisitions added 11 points. By geography, the U.S. was up 6%; Asia was up 20% and Europe was up 14%. Avocent and Chloride contributed $153 million in sales from the quarter. We saw strength in the Uninterruptible Power Supply, Precision Cooling, Embedded Computing and Power and Inbound Power businesses. EBIT dollars of $255 million or 15.2% of sales, up 41% with positive impacts from leverage, cost reduction benefits, lower restructuring, which partially offset by unfavorable price and mix. The September 30, 2010, backlog was $1.4 billion, an increase of 33% from the prior year. The Chloride acquisition was completed in the quarter. This acquisition enhances our global reach, product and service technologies and integrated data center management solutions. Slide 12, Climate Technologies. Sales in the quarter of $1.003 billion, up 10%. Underlying sales were up 11% and currencies subtracted a point. By region, the U.S. was up 5%, Europe was up 13% and Asia was up 28%. Strength in our Refrigeration and Commercial businesses was partially offset by a decline in the U.S. Residential business. EBIT dollars of $193 million or 19.2% of sales up 26%. The margin improvement was driven by volume leverage, increased electronics and value-added solutions, benefits from cost containment actions and lower restructuring expense. Geographic balance for Climate Technologies continues to shift internationally. We had 46% of fiscal 2010 sales outside the U.S. Slide 13, Tools and Storage, this was formerly called Appliance and Tools. Sales in the quarter of $447 million, up 2%. Underlying sales were flat and acquisitions added two points. By region, the U.S. was down 1%, Europe was up 3% and Asia was up 15%. EBIT dollars of $93 million or 20.7% of sales up 1%. Material and wage inflation was offset by cost containment, volume leverage and mix. U.S. consumer demand is still tepid and consumers are still stressed. We've completed the divestiture of our Appliance Motors and U.S. Commercial & Industrial Motors businesses and it creates a leaner and more profitable segment. Slide 14, overview of the full year results. 2010 was a very good year for Emerson. Sales for the year of $21.039 billion, up 5%. Underlying sales were down 1%, emerging markets were 34% of sales, and international sales were 57%. Nice operating profit margin expansion. We had operating profit of $3.509 billion or 16.7% of sales. EPS from continuing ops for the full year of $260 million, up 15%. This includes a $0.04 negative impact from Chloride and $0.05 negative impact from the Motors re-classed to discontinued operations. Net EPS of $2.84. Fiscal 2010 was our 54th consecutive year of increased dividends and the Board of Directors voted today to increase the quarterly dividend to $0.345 per share, strong operating cash flow of $3.292 billion and record free cash flow of $2.768 billion. We have very good momentum entering fiscal 2011. Orders continued to be strong and capital goods and markets are improving. The next slide, in summary, Emerson executed and delivered solid results in a challenging fiscal 2010 economic environment. We generated high levels of operating cash flow and free cash flow. Our operating profit margin was strong at 16.7%, gross profit margin increased 200 basis points to 39.6% percent. Our restructuring efforts have fundamentally changed the cost structure of the business. We've remixed the business portfolio for higher growth and higher margins, and continued investment in new technologies and next-generation products. Emerson is well-positioned as we move to fiscal 2011. The current business momentum and global economics are favorable and we will continue to make key investments in new products and technologies in an emerging markets. We're increasing incremental investments by $40 million in emerging markets, in people, technology, and new products and research. For fiscal 2011, we expect underlying sales up 7% to 10%; operating profit margin, 17.2% to 17.5%; operating cash flow in the range of $3.4 billion to $3.5 billion; and restructuring costs of $90 million to $100 million. I know many of you have asked me about the business segment restatements for the quarter in fiscal 2011. We're working on those, and we'll work to get those out sometime this week for you. So with that, I'll turn it over to David Farr.
David Farr: Thank you very much, Lynne. I welcome everybody on the phone call today. I appreciate everyone joining us. I also want to thank all the people across Emerson board, especially the OCE, the business leaders and the operation presence for what I call a great job in 2010, a tremendous performance relative to operations, relative to the restructuring that's been undertaken in the last couple of years. We have continued to invest. At the same time, we restructured both internally in our growth programs. We've done acquisitions and now, we're executing along all the things that we've been working on for the last couple of years. As you know, our underlying quarter pace has been strong as we continue to expand in key emerging markets and key technologies, and our underlying sales have improved the last couple of quarters from 7% in the third quarter to 12% in this fourth quarter, and our total year was basically flat. So from my perspective, we have momentum, a pretty good momentum as we lead this year going into 2011. Our operating profit margins, our GP margins, are all set at record levels right now, and we are set to go to 40% plus GP and we are set to go to 17-plus percent operating margin. Through all the tremendous work as we restructure the company, as we made investments and as we've discontinued businesses and divested businesses. As I look at our free cash flow, we set a record level this year of $2.8 billion. And over the last two years, we have set a target to exceed over $5 billion, which we did peak at $5.4 billion over the last two years, which allowed us to do close to $4 billion of acquisitions. We paid back close to $2 billion of dividends, we did share repurchase over the last two years around $800 million, we divested companies around $800 million, we have strengthened the balance sheet both from the standpoint of liquidity and capability, and we have the ability to do what we need to do in the next several years. And I feel very good about where we sit at this point in time. The restructuring programs which we initiated as the downturn happened in the middle of 2008 are basically done, we still have a few left we have to get done, but we will be dialing this back to our normal level based on what we've been undertaking in the last couple of years. We started to invest, as you know, we started investing incrementally at higher levels in February 2010. The OCEs made the decision, in addition to our normal investment of profile, we've increased our investment in strategic areas, and we've put $40 million on top of what we normally do at the $15 million level at the corporate strategic programs. They've been identified, they've already been started. The business leaders worked with Craig Ashmore and the OCE to identify these programs and they are being funded and they're all about making investments in emerging markets, in technology and new products. An investment that would've eventually been done, but now, we're going to pull forward and get them done this year in early 2012, to make sure that we have a stronger underlying growth profile as we come out of this recovery and continue to grow. I think this is a strong indication that we feel very good about where we sit today, and we feel that with our increased profitability, our record levels of margins in GP and the cash flow, that the time has come to step up our investment into accelerate our growth rate. You'll remember that in February, of this year, we talked about the five-year profile would be slower because the economies will be slower, I still believe that. But with the incremental investments and the restructuring that we've done at this company, I now believe that we have a chance to slightly exceed 7% for the next five years. And this investment we're doing right now and improve profitability, and the globalization of the company is allowing us to do this. As I look at where we're driving the company, we're going to be somewhere in the 40%, 45% in emerging markets. Our international exceed 65% in the next five years. We have a very strong foundation and I'm talking to the board today, we're talking about accelerating our investments because I think the visibility is there. I believe that we can see what's going on in this world today, and we know that we need to take the initiative to grow and to invest and we're doing that where we believe the growth opportunities are in the markets around the world and the technologies, and we're making those investments. It's very clear to me, there's not uncertainty. I know what's going on and we're making those investments and we're going to put that investment out there to grow this company and improve the profitability. If you look at what's going on inside the company right now, we're sitting at record levels of cash and margins. Our free cash flow per share this year has set a record level of $3.65 per share, $3.65. That is the value driver of this company. How we generate cash and returns and we'll set records, again, I think, as we look at 2011. Right now we're in the mode of execution. Restructuring is done, the big acquisitions we've undertaken the last couple of years, we are now in the mode of executing, the divestitures we've got some big ones done. We're now in the mode of settling the company down, we have one small acquisition divestiture we'll do this year, one divestiture, of around $100 million, and I would look at our acquisition profile right now somewhere probably around the $500 million, $600 million, $700 million. not a big number. We're about executing what we have accomplished already. We have restructured, we have positioned the company. We are now focusing on investments and strategic areas for growth, because we know the GDP around the world is going to be slow, we know that it's not going to accelerate fast. The U.S. government, the European government need their on restructuring. They had wasted money, they had spent, overspent, they need to restructure, not only their cost structure, but their balance sheet before growth will return in these mature markets. Companies like Emerson have already done it. We're positioned and so we need to invest in pockets of growth around the world. Visibility is very clear to us where we need to put our money and we're making those bets right now. So as I look at where we sit today, I want to thank the board, I want to thank all the business leaders, the OCE, the operating executives. They have executed over the last two years, the company's foundation is strong. We have the growth potential. We are all about accelerating growth in 2011 and look in trying to control our own destiny and drive value for our shareholders and for the people that have invested in this company over the years. I feel very good about where we sit today. I feel very good about what we're going to see in 2011. Clearly, there's always issues that could surface at any point in time, but I believe that Emerson is well-positioned to have extraordinary growth over the next 12 to 18 months, set record levels of profitability, set record levels of cash flow, set record levels of returns for our shareholders and deliver for what we've invested in, and that's what it's all about. It's execution, it's execution, its execution. And there's nothing else that we have to do at this point in time. So with that come I want to turn it over to answer questions, and I'm sure there's plenty of questions out there. But again, I want to thank everybody around the company that had an extraordinary year. Thank you very much, for what you've done. You've position this company to really be able to perform and have a great 2011. Thank you.
Operator: [Operator Instructions] And our first question comes from Jeff Sprague with Vertical Research Partners.
Jeffrey Sprague - Citigroup: So my question is really on the balance now between profitability and growth. Clearly, you have done a lot to get the portfolio into great shape. Profitability and cash flow is obviously all essential to what Emerson's about, but do we think about trading a little bit of profitability for growth as we move forward in the slower growth environment? And I'm thinking about it kind of implicitly looking at the guidance construct that maybe suggest the incremental margins are in the 20s next year. Some of that's kind of the noise from Chloride and the like on the top line. But just give us some color on how to kind of put that in perspective.
David Farr: Yes, I think that's a very good question, Jeff. What's going through our mind right now at the OCE level and the board level is that, we clearly are looking at our lower growth environment, particularly 2011 as there's a global stimulus that's pulled back, and people will have to seek the underlying growth. We have made the decision to increase our -- what I would call our incremental investment, both for people and technology. As I look at the company today and we drove the company, we could drive -- we probably could get to an 18% operating margin pretty quickly. I feel that would be a mistake. I fundamentally believe that I would like to see us make investments right now, in particular, in some of the emerging markets where the growth opportunities are there for us. And if we get ahead of this game plan, given the strength of our financials, I would look expect our flow-through profitability this year to be more in the 25% to 30% range. We've been running ahead of that, but I think it's important right now that we invest at this point in time to try to figure out how to not have a 5%, 5.5% underlying growth rate going forward for the next five years to make it more like 7% or 7.5%. And I believe we have identified through our programs this year with our strategy sets us unique opportunities. And that's why the OCEs decide to put the $40 million on the table and get on with it. We've already started investing the money. So I think we are well-positioned to do that, and if we get the growth, our profitability obviously will continue to grow with it and I think we'll do pretty well. So that is exactly what's going on. You're right on the mark there.
Jeffrey Sprague - Citigroup: And how do you feel about price costs in 2011? Did you finish up here in the green? Are you getting some price?
David Farr: Yes, we finished up green, slightly green this year. We see material inflation as a negative right now, it's pulling back. I think right now, what we see the year, it's going to be plus or minus 0.25%. We've had a couple of very good years relative to price costs relationship. There's a lot of commodities moving around sort of extraneous right now. We have component shortages still. I feel that we'll be very close to being zero, but if I was going to put a markdown right now, I'd say it could be plus 0.25% to minus 0.25%. sort of in that range right there, but pretty close to that zero level. But clearly, something that we're working on very carefully right now. Because there is definitely inflation coming at us. And as the U.S. government continues to do its quantitative easing, that will create even more inflation and in particular, on the emerging markets which is really our key growth area.
Jeffrey Sprague - Citigroup: If I could just sneak one more in, IA looks great obviously on a year-over-year basis, but sequentially, it was off the charts, too. And I was just wondering if something in particular really kicked in the gear there in the quarter.
David Farr: A couple of things happened there. Jean Paul and his operation guys really got hit hard as you well know, and they took a lot of restructuring head on early on in 2008 and 2009. The volume has started coming back for them, Jeff, and they are really leveraging. And I give a lot of credit to Jean Paul and his team because this is a very European-based company. And they took these cost structures right on and that's what you're seeing. So I mean, there's nothing funner games going on, there's nothing unique, it's just pure solid execution and Jean Paul came to me for some growth investments and we are giving him the people he wants to invest in for his emerging markets because of pure execution. They've done a great job.
Operator: [Operator Instructions] And our next question comes from the line of Steven Winoker with Sanford Bernstein.
Steven Winoker - Bernstein Research: Just trying to get a little bit better handle on the whole price costing and you've talked about with Jeff just now. Particularly in Industrial Automation, where you actually saw it go the other way. And given where margins already are, where do you see the biggest risk across the business units there, and what are you doing on price specifically? I know Charlie & Co. have done a lot of effort into that. Are you seeing continued traction in your ability to get price regardless of the material side?
David Farr: The answer is yes. We are continuing to have positive traction relative to price. And the biggest issue we see right now, we have some underlying commodities that are taken off. Steel is back down which is good news, but copper is now running close to $4. We have electronic component issue going on from our perspective. So I think there's a lot of moving parts going on. I mean as I look at it right now, I think we're going to end up with slightly positive price this year, and a slightly negative net material inflation, and we're going to end up probably pretty close to zero. But the commodities are the biggest issue right now for us. From our standpoint, the labor and those cost structures, we are in very good shape and the productivity programs are there, hence, we're investing in capital right now to offset that type of cost. But my issue right now, is we're starting to see some price cost issues or cost issues on commodities and certain electronic components, and certain other components which are a little bit short of supply. So we are all able to get price, Charlie's programs have really helped us, but in this tactical mode right now, we're going to have to get a little bit of positive price, but we have not seen an accelerator get out of control. But I'm very nervous about that issue because of all the quantitative easing that's going on in the United States and other parts of the world. But I think it's under control right now. I feel pretty good about it.
Steven Winoker - Bernstein Research: And what are your comments around investments for next year, which are mostly, it sounds like expense, R&D base, labor base, how about on the capital side, how are you thinking about that? I know those have already been in place for a while.
David Farr: Our capital spending is going to be close to $600 million. You notice that our capital spending did accelerate in the fourth quarter and the reason for that is, we were able to accelerate some of the new product initiatives and we clearly wanted to start getting ahead of some of our emerging market investments, so we had to make some investments there. I would expect us to spend $600 million, plus or minus $20 million next year again. And it's already underway and it's going to be primarily in, what I would say, capital investments for productivity. So be it equipment, drive-up productivity, and also, we are making some capacity investments in emerging markets. And we'll be making those investments and anticipating around our new product areas and particularly around our emerging markets at this point in time, and that's where the investments are going.
Steven Winoker - Bernstein Research: Any particular business units there that you'd highlight?
David Farr: No, I don't think -- nothing in particular. There's nothing out of whack from that standpoint. I don't have any -- there's not a big compressor on that expanse. There's not a big process expansion. Steve, you're going to see pretty normal capital by each of the businesses and just like the restructuring, restructuring has gone through its way, there's nothing extraordinary going on in there either. So it's going to be pretty normal.
Steven Winoker - Bernstein Research: Just Q1 color, any thoughts around Q1?
David Farr: Not really. I mean at this point in time, it will be the easiest comparisons relative to our growth. What we do have, as Lynne mentioned Chloride, we still have some underlying costs we have to amortize. You said around $30 million in the first quarter. And from that perspective, that's going to come through. We have the close out of our performance share based this quarter. We're paying that off. And so I think it's going to be a good quarter, but it will be a toughest quarter for us, I think to deliver from the standpoint of a lot of moving parts still going on, but still good momentum as I go in the quarter, but nothing really other than that. I don't manage quarter-to-quarter. We sort of manage as a year now as you know that, Steve.
Operator: Our next question comes from Terry Darling with Goldman Sachs.
Terry Darling - Goldman Sachs Group Inc.: I'm wondering, first, on a bigger picture item, if you might comment on what you're seeing in the U.S., shorter cycle businesses. I think a lot of folks were surprised by the strength in the ISM and I guess I'm wondering your views on the U.S. in general, but specifically, under your shorter cycle businesses, do you think that some folks are trying to get ahead of price increases that might be coming because of this raw material dynamic? And did you see the kind of acceleration through October that the ISM suggest that others saw?
David Farr: No, we did not. From my perspective, the short cycle business in the U.S. is going to be very challenging, where we're seeing the investments going on are the capital related. Where people like us had really backed up capital spending. So we're seeing that type of investment coming in from a standpoint of productivity or capacity, issues where people had scaled aback. They don't want to bring -- hire people at this point in time because they're a little bit uncertain what type of growth they're going to be looking at in 2011. Well I am very cautious and nervous about the short-cycle businesses in the U.S. from my perspective, our divestiture that applies more and controls is pretty has good timing wise, because I think that business had a nice little pickup and I think it's going to struggle next year. But from my perspective right now, I don't see much growth in the U.S. in the short cycle stuff. I see a pretty good growth next year in our industrial capital related businesses, and I believe we'll have a good year both in the U.S. and in Europe as those companies invest, again, coming out of this recoveries, coming out of the recovery it takes hold.
Terry Darling - Goldman Sachs Group Inc.: I'm wondering kind of a guidance question, the interest expense and other deduction item of $670 million to $700 million, can you take us through kind of the changes in the pieces within that number that you're thinking about for '11 versus 10?
David Farr: Can we come back to you and we'll talk to you in the phone? Let Frank look at that for a second and talk about it, and then we'll come back on you. Stay on the phone, we'll answer that question. Let's give Frank a second to dig through that.
Terry Darling - Goldman Sachs Group Inc.: May be then just quickly, the $40 million of incremental emerging market investment real quick, should we think of that as a one timer in 2011 or should we think of that as ongoing? And any color in terms of where you maybe overweighting that investment by division?
David Farr: For instance, I think the $40 million will hit us this year, I think we'll probably continue part of that next year. My fundamental belief is, we'll see the growth and will cover this as we move into 2012. I believe the OCE will say let's keep part of the goal and help them as they get into 2012, but I expect that the divisions will get the growth in the business and we'll get the growth, we'll be able to cover this incrementally as we go into 2012. but I most likely wouldn't be surprised if I invest $40 million this year, by going investment of $15 million or $20 million next year on top of that. We'll have room to do that. Primarily the big dollars and the biggest areas you could imagine where they're going to be, they're obviously in process, industrial automation and network caller are the three big areas. Every business is getting it, but this will run through the corporate P&L, the corporate line, but it's primarily where I see in the strategic areas where we have unique technologies and we want to get ahead of the power curve and we want to really push forward right now as the market, I think the window is open and the people that take aggressive actions right now, will succeed in the next 12 to 18 months and I want to be one of them. We'll answer the question. Frank, we'll work that up and will look at it, I'll come back to you before we go off the call.
Operator: Our next question comes from Scott Davis with Morgan Stanley.
Scott Davis - Morgan Stanley: So couple of things, first on process, a couple of great quarters in a row, and in many ways, the business has come back a lot faster than probably most of us thought it would. while it's certainly different than past cycles for sure. When you look at to 2011 a little bit, I would assume that there is some mixed shift to more project-related business or do you still think it's going to be more the day by day kind of higher-margin business that you've had the last couple of quarters?
David Farr: What we're seeing right now is the orders have expanded. We are starting to see medium, large and larger projects booking, Scott. And so it's actually starting to shift. What we're going to see early on in the first half of this year I think will be more of the productivity, the MRO as people are investing and improving the plants at this point in time. The smaller projects the incremental capacity which are smaller projects, they're starting to hit right now. As we leave and move to the second half of 2011 and move out towards 2012, you're going to start seeing the larger projects start hitting us at the sales line. The orders should accelerate this year because of the larger projects which are now being bid on and I think we'll continue to go forward. But they won't really hit our sales level until late 2011, early 2012. Right now, it's going to be medium, small, small capacities and MROs type stuff. So our profitability, what we're focusing on right now is, I would expect this -- our underlying profitability in the Process business to improve next year, and we are going to have accelerated investments in process both internally and in the money I put on the table here. Because I'm setting up for the growth in 2012 and 2013 in that business. As you know, it's a very profitable business for us. Did that help you?
Robert Cornell - Barclays Capital: Yes, that helps a lot. A lot of it is just timing, right? Just trying to figure out when the big stuff come in.
David Farr: We're not that smart, Scott. I was wrong in the cycle and these guys have done a very good job here. And I thought that the MRO investment would've come early, now it came later. So it's a tough call, it's timing, but we're back, we're strong.
Scott Davis - Morgan Stanley: Now I want to comeback to the earlier question on industrial automation because the incremental margins of this quarter were just so phenomenal and I can see this being kind of difficult for those of us in the side of the world to model out in 2011, as it relates to kind of incremental's, plus your Hermetic Motors. I'm kind of begging for modeling help here, how do we think about incremental margins in 2011 in this business or how do we at least think about modeling a with hermetic or without hermetic? What's the new normal I guess is the question?
David Farr: Hermetic is not going to have a huge impact relative to the -- you think about the size of the whole IA area. the Hermetic will have a little impact. But in reality, what you're seeing right now is this business and I'm trying to think -- can you help me where it peaked at say, 2008? What's that margin peak at IA? Can you guys tell me? I think, we're going to go back and we're going to go buy the peak in 2008...
Frank Dellaquila: The peak was 15.6%.
David Farr: You're going to see this business, come up I think going to be coming up, invest 17%, 18% range. Again, I want to give credit to Jean Paul. Jean Paul and his operating team really somewhat significant cost restructuring went underway. And so they peaked at, say, 16%. I really believe these guys are going to be going in the 17%, 18% range here, as we move into 2011. I don't know, 16% -- but it's not going to get that high next year. So I think you're going to see continuing to go towards that. But the model number you should be thinking at for this business is 17% and 18%. Two or three years to get there, but that mentally, I think Jean Paul has made some fundamental changes to the cost structure, Hermetic Motors does help a little bit, but that's not going to drive the 17%, 18%. What Jean Paul and the operational team did. And a little volume and significant restructuring in these guys hit it, and boy, they hit it well.
Operator: Our next question comes from the line of Deane Dray with Citi Investment Research.
Deane Dray - Citigroup Inc: One of the pleasant surprises this quarter was Europe, and it wasn't that long ago, there was a lot of hammering going along whether Greece is going to create a domino effect, and here, you put up 15% core revenue growth. So just take us through the mix geographically and then the outlook for 2011.
David Farr: We've talked about this, Deane, and I think you've been here when we're talking about Europe. I think Europe went through a period here where from the standpoint of under invested, and then when the euro got weak, you saw Germany take off and you see some of the investment profiles both coming out of Europe into Africa and the Middle East. We're starting to see that benefit right now. We knew it was coming and I believe we're going to have a very good year. I wouldn't be surprised if Europe doesn't outgrow the U.S. next year. I make crazy comments like this all the time, in my business, and Emerson's business, I wouldn't be surprised if Europe does not outgrow the U.S. next year. It's because Europe is working very hard in industrial side to restructure. They are actually ahead of the U.S. for that perspective. you think about the government standpoint and therefore, you're going to start -- I think you're going to see something that growth coming out of Europe into the emerging markets, and we benefit from that. From the process world, the industrial automation world and the Network Power world. So I feel that we're going to have pretty good underlying growth for Europe next year because of what the countries have done and then what our business has done, and the unique businesses we're in. So that's what's going to happen. I think it was a pleasant surprise, and I feel pretty good that, like I said, I think Europe could actually outperform the U.S. next year in underlying growth.
Deane Dray - Citigroup Inc: And then just over in Network Power, one of the numbers that jumps out is the 33% increase in backlog. How much of that is organic? So was there a contribution from Avocent and Chloride?
David Farr: I'm assuming some of the backlog is Chloride in there.
Lynne Maxeiner: For Chloride, I believe it is for your full backlog.
David Farr: I couldn't tell you some of it, but the business is starting to pick back up. I would expect the Network Power business in particular, to start picking back up on the labor Chloride side in early 2011, the calendar year 2011. The early stages, the backlog right now are more of on the Embedded Power and computing area where the growth has been strong, the component shortages has been a big issue for us, that backlog is built there. But overall, the momentum has shifted and Network Power both in JGalmocker [ph] side and as yet Phoenix [ph] side, and Chloride coming in, helps us, but that's not a huge backlog business. but it's definitely, we see a momentum shifting there which is very good.
Operator: Our next question comes from the line of Shannon O'Callaghan, with Nomura.
Shannon O'Callaghan - Lehman Brothers: Question on Network Power, first of all. Good margins there on the quarter, can you give us an update on the Chloride integration and how we should think about Network Power profitability kind of through the quarters of '11 as you bring that in on a full term basis?
David Farr: The integration of Chloride has gone extremely well, and from my perspective, there's not going to be a whole lot of restructuring in that business this year, because we're right now working from the standpoint of trying to understand what we can do and not do. And I think from our standpoint, we're looking at a period that restructuring would be more in 2012, 2013. I would expect the profitability of this segment would start to improve, quarter by quarter by quarter as the underlying business improves. So I would expect this business to continue to improve profitability wise, as I think I've talked about it, I think that in total, the Network Power business is moving towards that 15%, 16% level. And I think that these guys are going to make progress each quarter this year as we go forward here. And I look at the Network Power business, I think they're going to have a very good 2011 as they move into that 15-plus percent which we've never hit. And so we're not going to quite get there, but it's still going to be a nice improvement as we go forward here.
Shannon O'Callaghan - Lehman Brothers: I mean sequentially in to 1Q, as you bring it in full term, and you expected them to decline a little bit sequentially from where you were in 4Q?
David Farr: Sequentially, they're going to decline and then we should start seeing improvements as we go forward through the year. The Chloride impact obviously is the full year, and Chloride is a lower margin, and we have obviously amortization going on there, I forgot about that. So it's going to take us a while to get back up to the 15%. But I think this segment is going to be at 15% segment again, and we're probably more like in the -- we're going to be approaching that by the end of the fiscal year. So we should be approaching 15%, and we go down and we start working our way back up. But these guys are doing the right things, and then we're going to do restructuring more in Chloride and Network Power in 2012. So that's where I sit right now for that business.
Shannon O'Callaghan - Lehman Brothers: And then so just on some of the Resi businesses, the inventory correction, HVAC and then the storage business kind of weak, how do you see those playing out as we move to the fiscal year?
David Farr: As I said earlier, the Consumer businesses right now are really going to struggle in 2011. The consumer is still stressed, they're going through deleveraging, the job market is still going to be very challenging for them right now. And so I think that the Residential Consumer business for our AC business is not going to be all that strong next year. We have the issue that there were some incentives put in place to help, so I think that will be a challenge for them. I do not think the Tools and Storage business will see much growth next year. Discretionary spending is not all exciting relative to the consumer at this point in time. So yes, I'm looking at moderate growth, low single-digit type of growth of that space. Our capital guys are going to see us -- are going to be the improvement. And what we're investing there in the Tools and Storage area is basically some of the emerging market growth that we need to start investing in for them. But that's not going to be a big driver of growth, it's not going to hurt us, it's not going to help us, and I would expect that profitability to be up a little bit next year.
Operator: Our next question comes from the line of Julian Mitchell with Credit Suisse.
David Farr: Frank is now ready to answer that question. Terry asked the question, So Julian, just stay put for one second. Frank, why don't you go ahead and answer the question.
Frank Dellaquila: I believe the question was, on the last chart, the interest expense and other deductions, the $630 million this year and the range we gave of $670 million to $700 million, basically we expect a modest decline in interest expense as we work off some of the acquisition debt, a decline as well in restructuring in the order of $15 million or $20 million. And then we've got about $80 million to $100 million going the other way, which is essentially the result of the acquisitions namely Chloride, higher amortization and then some of the one-time items like revaluation of backlog and things of that nature. So that gets us to range of about $670 million to $700 million.
Julian Mitchell: In terms of the organic growth outlook, the 7% to 10% range for the year ahead, just when I look at your 12% that you did in the quarter just finished, it sounds like your quite positive on Europe for the year ahead. The growth rates to Asia and Latin America put up in the low teens, don't seem crazy versus the GDP growth expectations there. So I just wondered which region, is it really all in the U.S. where your think you're going to see a slowdown over the next sort of nine months versus the 9% underlying growth you had in Q4?
David Farr: Yes, I think Middle East is not going to come back -- it's going to be kind of slow. I think U.S. will still grow, but I'm concerned about what level we're seeing in growth. I think a lot of our customers right now are looking to invest outside the United States. Clearly, if we have continued momentum in orders, Julian, it would be clear that maybe we have more upside in our underlying sales growth. But from my perspective right now, we've had strong orders, I am also very concerned about what's going to happen in the U.S. and I could be wrong relative to Europe, but I feel that it behooves us right now to obviously push internally but also be very cautious at what we can do with underlying growth. I mean statistically, if you look at it right now, and look what we're coming out of it, it should be a strong double-digit number. It should be more than 10% as you point out. But I want to see us get some months and a quarter or two behind us before we say, okay, let's make that 10% or 12%. I mean, there are things that could go wrong. I mean, there people that as you well know, said the 2011 is going to be a lot stronger than 2010. Well, a lot too right now is saying 2011 is going to be weaker than 2010. so I want to be very cautious. We have positioned ourselves and things are looking good, and we could be stronger, but I also want to be very cautious to behooves may be cautious from that standpoint so that you don't get ahead of me.
Julian Mitchell: In terms of the cost growth, I mean you mentioned, obviously some CapEx moving up. In terms of things like headcount or R&D or specific, say, sales force expansion programs in different reasons, can you give any more color on that.
David Farr: Our investment, for instance, in the $40 million part order, we will be hiring 1,000 people. And these will be high-end sales people, marketing people, technology people, and they'll be going around the world from that perspective. That's just focusing on technology and sales and marketing. And from my perspective, our hiring, we are increasing our headcount at this point in time, and particularly, outside the United States, and particularly outside Western Europe, and so the investments you're going to see from a capital standpoint, and a technology investment are all increasing. As a ratio, if you look at our capital spending, I think we'll be somewhere between 2.5% and 2.6% next year. So we're going to be very tight. There's nothing that I need to make a major investment. If I look at our technology investment, we're probably within a 10th of what we did this year. A lot of it is in emerging markets, there's a lower cost type of structure. So there's nothing crazy, but it's going to be a 10th higher here, a 10th higher here, 2/10 higher here. It's all about investing and we have the margin room because we actually did a lot of aggressive restructuring and it gives us the capability of doing that. And so that's where we are right now.
Operator: Our next question comes from Nigel Coe with Deutsche Bank.
Nigel Coe - Deutsche Bank AG: Obviously, obviously, you're going to provide a lot more color in the segment's forecast in February next year, but I wondered would you give us a little bit more color in terms of how you expect the five segments would play out versus that 7% to 10% range next year? Any color in terms of how the five segments will play out in terms of that range?
David Farr: I'm not going to give you the specific numbers right now, but clearly, if you look at Industrial Automation, if you look at Process, if you look at Network Power, those three segments right there will be the strong growers. Climate Technology will have the issue relative to the North America business, which is a huge grower this year and now they have to overcome that. And so from my perspective, Climate Technologies growth can be Europe, Latin America and Asia Pacific, and that one will be down for, I believe, this year versus last year. And the drivers are definitely going to be industrial, Network Power and Process. I think they'll all end up, being in my opinion, double 10% plus in Process, Network Power and Industrial Automation before the year is out, and the Climate and Tools will be low to medium single digit type of growth rates.
Nigel Coe - Deutsche Bank AG: And clearly, the order of rates, the process imply double digit growth, do you assume, given that happens, assume it's 1Q?
David Farr: No, I think it goes back to the conversation that I had. I can't remember if it was Deane Dray or Scott Davis asking me on the process. I think it was Scott. We're starting to book right now, Nigel, our some of the medium-sized projects, which we'll now start executing to later this year or early next year. So I think you're going to see the underlying improvement maybe high single digits, maybe it sneaks over to 10%, but you're going to see this build as the year goes on. But still, given the restructuring and the mix of business, it should be a very good business segment for us this year as you can imagine.
Nigel Coe - Deutsche Bank AG: You obviously gave a pretax margin range, but not a post tax margin range. Is there any variability in the tax line this year that...
David Farr: I think the tax rate is going to be around 30%. We have nothing extraordinary. Obviously, the pressure is upward based on what's going on around the world right now. And hopefully, with the right election, and the right focus on restructuring corporate tax rates, we pay a lot of taxes, as you all know. I hope we'll get a more balanced tax rate for us going forward. But we're going to be paying around 30% for the year.
Operator: Our next question comes from the line of Rich Kwas with Wells Fargo Securities.
Richard Kwas - Wells Fargo Securities, LLC: Electronics components, you talked about that as a problem earlier in the year. It's still there other companies talked about it. Do you see any relief in sight here?
David Farr: No, not yet. We still have some issues with IG BTs. We have some issues in some of the components coming out of Japan. The capacity has taken longer to come on board and I don't think the yields have gone well, so we are still seeing some shortages and that's not a good sign that will obviously create a cost issue for me as we try to have to pay premiums to get those things. I thought with this, we'd be really stabilizing by now and actually see an improvement. My gut now tells me based on what I'm hearing from my people, it probably early 2011, the calendar of 2011, before we see some stability there, Rich. And that not, that is not a good thing. I think those suppliers did not do a good job getting ready for this. If I talk to me customers this way, Mike Keith, global top 10 customers, they'd be on my door in about two nanoseconds, where you camped out. I guarantee it.
Richard Kwas - Wells Fargo Securities, LLC: On process, just a housekeeping question. Fourth quarter margins declined from third quarter. You usually see a sequential uptick. Anything going on there? I know Q3 was very strong, so was it just the comp in Q3 that was very strong or was there a mix issue in the quarter?
David Farr: No we had a big pickup in currency mix in the third quarter and through the currency transaction that helped us close it was $19 million, $20 million that helped us. We knew this was going to come and so it just flow through as the dollar, the European currencies moving around that helped us in the third quarter. So that really helped that margin. The 20%, I think we have 20% in the fourth quarter?
Lynne Maxeiner: In the fourth quarter, it was like 19.1%.
David Farr: 19.1%. There was nothing extraordinary. You're right, sequentially, they would normally improve but because that currency impact in the third quarter, there's nothing funny or weird going on there. It's just sometimes these currency of things hit you or something like that, nothing unusual.
Operator: Our final question comes from Steve Tusa with JPMorgan.
C. Stephen Tusa - JP Morgan Chase & Co: A question on Climate for me. Your fiscal year has a lot of stuff going on given you would have seen the benefit from the R-22, channel loading at the end of last year. So I'm just curious, what was your Resi business and what for the year, what was your U.S. Resi business? Where did that finish from a growth perspective?
David Farr: Our U.S. Resi business for the year because, we have a very strong replacement market, I would say we're up 10%, 12% in the U.S. A freak thing about what's going on there, was a very good year for us and obviously I think we're going to be facing a much more challenging U.S. business as we go into 2011. There's a lot of things going on. As you well know, you noticed this industry extremely while there's been a shift going on. Obviously, the incentives have disappeared from the government standpoint and I think you're going to see this fourth quarter here, in this calendar quarter is going to be tough, as our customers look at maybe doing some inventory reduction, which will hurt us. I think as we get into the calendar year 2011, we can see some growth returning. But I think it's going to be very challenging for us on the residential side, after a very good year this year.
C. Stephen Tusa - JP Morgan Chase & Co: So you did see those replacement compressors grow pretty fast. So people are actually not just letting their assistants sit there, or buying window units or fans or going with the air conditioning?
David Farr: No. And I think we're going to have some pretty good replacement business again in the first part of the year, but I think the underlying, the housing market is not good, the upgrades in the housing is not good right now. I think there is some buildups. so I'm expecting, what I would say, some pretty tough comps for us, as we move into the first part of 2011 for the Climate guys. But on the positive side, we're seeing the Refrigeration business, the non-res business, the Container business and the Global businesses are doing much better. So the residential side struggled, but we're seeing the other side improve. So it would be an interesting year. I think the climate guys could be surprising to me. I said they'd be low medium underlying growth rates for the year, they could surprise me because of the other businesses coming back. But the residential is tough.
C. Stephen Tusa - JP Morgan Chase & Co: Did your guys tell you anything about the demand disruption from the [indiscernible] high price systems? I mean, if those systems came down dramatically in cost, do you think that would help drive people to go back to replacing more the systems as opposed to just buying a compressor? Obviously, since they're replacing a compressor, there in a cost issue versus what they were going used to do which is just to replace.
David Farr: Yes, there's no doubt about it. We do talk about it. It's not something I'm going to publicly talk about, but there's no doubt about it. I think the biggest issue to me and I've been involved in this business quite long, is the size. I think the astronomical size of the new units is a big problem. The technology they use as they made them bigger, and I can tell you right now, many people cannot fit them into the house outside, they just don't have the space. They need to figure out how to get the efficiency without making them bigger. Our compressor is not bigger, as we move efficiency. But for some reason, as the air-conditioning guys made these things so much larger, you've seen them Steve, they're massive.
C. Stephen Tusa - JP Morgan Chase & Co: If we went back to R-22, do you think that would be an impact? And then second of all, how are you thinking about price increases next year to compressor customers?
David Farr: For many people on the phone, I don't understand what you're talking about going back to R-22. I personally, I don't see it will have an impact on us per se, the units will be sold. But I hope the government does not go back to R-22. We've made the decision to go forward with relative to energy efficiency and the change in the refrigerant and I think going back is a big mistake at this point in time. That's my opinion and as a person, I don't think that on the pricing standpoint, it's all commodity-driven right now. If the price of copper or the price of aluminum, the prices of those commodities continue to increase, we're going to have to pass some increases on. We're working with our customers. We know we have this issue relative to the already the costs going higher, because of efficiencies. The governments passed these efficiency standards. As you know, we have one coming again in 2015, which we really don't need, but they're going to pass another one. And the OEMs right now are struggling with this issue from our standpoint and that's why we're investing in electronics area to try to figure out how to get these efficiencies without making these units larger and more costly.
C. Stephen Tusa - JP Morgan Chase & Co: Has this consensus look about right for the first quarter, usually you give us some sort of color on the first quarter?
David Farr: I haven't really looked at it. I really have not looked at consensus, Steve, to be honest. Typically, who knows what's going on in there? I mean I think it will be an interesting quarter from this standpoint. It should be an easier comp at the top line. But I have other things flowing through there. So we'll try to give some more color and then what we might do is look at our next order release, and I'll try to look at that, Steve, and put some import in that, okay?
C. Stephen Tusa - JP Morgan Chase & Co: Why did you guys released orders last month and earlier this month?
David Farr: There's two reasons. First of all, I've been doing this, why do we release them the same time we have them. So it's two, and two, I did want to get them away from all the changes that we had going on relative to the divestitures, and the acquisitions. So I wanted to get it clean and get that information out ahead of that. Because I knew there will be a lot of discussion relative to the restatements and I want to get it separated. And there's no reason why I can't put the orders out before I put the P&L out. And so we'll go back and do that from now on. There's no reason I don't why I did it historically, other than it's always done that way and that's not a good reason. I just want to make you guys work twice, that's all.
Operator: And I will turn the call back to management for any closing remarks.
David Farr: Thank you very much. Again, I want to thank all of the people across Emerson for working so hard over the last 18 months. Your effort has really paid off. We have a great finish to 2010. I feel very strong about where we sit relative to 2011. I feel very good about the investments we're making, the position of the company as we globalized the business and, I look at what we've accomplished. And from my perspective, we are extremely strong and the foundation is strong, and look forward to exciting 2011. Also I want to thank everyone for being on the call today, I look forward to seeing everybody as the year progresses and we'll see people here in St. Louis in February. And I promise there will be no snow. I wouldn't bet on it but I promise. Take care, everybody. Thanks.
Operator: Ladies and gentlemen, that concludes the Emerson Fourth Quarter Fiscal 2010 Results Conference Call. If you'd like to listen to a replay of today's conference, please dial 1(800)-406-7325 or (303)590-3030 and entering the access code 4370601. ACT would like to thank you for your participation, and you may now disconnect.